Operator: Good morning. My name is Melissa, and I will be your conference operator today. At this time I would like to welcome everyone to the Unifi Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. I would now turn the conference over to Mr. James Otterberg.
James M. Otterberg: Thank you, operator, and good morning, everyone. Joining me for the call today is Bill Jasper, our Chairman and Chief Executive Officer; and Roger Berrier, our President and Chief Operating Officer. During this call we will be referencing a webcast presentation that can be found at unifi.com. The presentation can be accessed by clicking the Second Quarter Conference Call link found on our homepage. Before we begin I need to first advise you that certain statements included on today's call will be forward-looking statements within the meaning of federal securities laws. Management cautions that these statements are based on current expectations, estimates and/or projections about the markets in which the company operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecasted or implied by these statements. I direct you to the disclosures filed with the SEC in our Form 10-K and Form 10-Qs regarding various factors that may impact these results. Also please be advised that certain non-GAAP financial measures, such as adjusted EBITDA, will be discussed on this call and a non-GAAP reconciliation can be found in the schedule to the webcast presentation. Before we get to the financial details for the quarter I'd like to turn the call over to Roger, who will provide you with an overview of the company's markets, raw materials and some operating trends. Roger?
R. Roger Berrier, Jr.: Thanks, James and good morning everyone. I'll start this morning with a few brief comments regarding the retail market. Retail sales of apparel in the December quarter were up 4.7% compared to the prior year December quarter and reflected a pick-up in demand from consumers along with signs of a strengthening economy. Based on the relative strength of retail apparel sales during the holiday selling season inventory days at retail have remained steady at approximately 69 days, which is a very encouraging sign going forward. The temperatures at the end of the year helped move inventory of cold weather merchandise, which will be a big plus to retailers as they transition their inventory to spring clothing. This should also benefit our sales volumes during the next nine months as replenishment of this merchandise takes place. In terms of total synthetic apparel consumption in the region, which includes NAFTA and CAFTA, held that sourcing share of synthetic apparel at a steady rate of 18% for the last five years and the total square meters of synthetic apparel sourced from the region is expected to have increased 6% to 7% for 2013 compared to 2012. Another positive sign for our business is that synthetic apparel versus cotton apparel and other types of yarn has increased in each of the last five years, growing from a 38% share in 2008 to an estimated 49% share in 2013. In terms of our other key segments retail sales of home and office furnishings increased 6.7% in the December 2013 quarter compared to the December 2012 quarter and U.S. auto sales increased 6% for the same period. In terms of polyester raw materials prices have stabilized over the past three quarters. We don't expect any significant changes to the raw material pricing in the March quarter. The gap in polymer pricing between the U.S. and Asia was at approximately $0.14 per pound in the December 2013 quarter compared to approximately $0.12 per pound in the December 2012 quarter. This polymer gap continues to put pressure on the lower end of our commodity business and makes it difficult for us to compete with imported yarns in market segments that do not require compliant yarns. Overall domestic volume decreased year-over-year in the December quarter primarily driven by the timing of the holiday shutdown, which affected domestic sales activity during the second quarter versus the third quarter in the prior year. On the other hand the company experienced margin growth as a percentage of sales revenue in our domestic operations during the December quarter. This margin growth is primarily attributed to increases in our premier value-added yarns and the company's decision to exit negative margin business due to yarn imports and current pricing dynamics in this segment. Textile utilization rates in Asia remain very low and Asian manufacturers are aggressively exporting products into the U.S., Europe and Brazil at the low end of the market price range. The company continues to emphasize a strategic focus on products that are profitable, sensible and compliant. Overall gross profit from our operations in Brazil declined slightly in the current December quarter compared to the prior year December quarter for two principle reasons. One, lower margins attributed to price pressure from imported DTY and two changes in currency translations stemming from the weakening of the real against the U.S. dollar which reduced profits when stated in U.S. dollars. With continued pressure on our margins from imports in Brazil, particularly at the low end of the market price we will continue to focus our efforts on mix enrichment as well as our initiatives to recover gross profit through pricing strategies, improve the capacity utilization and overcome the loss of VAT benefits with the reduction in the POY import duties. Despite an inflation rate of nearly 6% we continue to believe that overall business conditions in Brazil will improve. The improvements will be gradual however as we move through the second half of the current fiscal year and into our next fiscal year. That said we are encouraged by the amount of development work that we are involved in, which is focused on mix enrichment with higher margin products such as solution-dyed yarns, air covered yarns and REPREVE programs. These programs can take anywhere from six to 12 months to get adopted. And we might not necessarily see a significant turnaround from Brazil in the balance of 2014 fiscal year. The soft market conditions in China resulted in lower sales volumes in the December quarter, which were partially offset by improved unit gross margin. We remain committed and encouraged about our business platform in China and we still expect several new programs to come online that utilize REPREVE and other PVA products in calendar year 2014. To continue to build consumer awareness for our flagship REPREVE product, REPREVE will return as the official recycling sponsor of ESPN X Games, Aspen which will start tomorrow and continue through Sunday, January 26. REPREVE will help make X Games, Aspen greener by turning more than 100,000 recycled plastic bottles into ESPN course signage and lanyards, as well as REPREVE-based merchandize such as shirts and beanies. A highlight of the event will take place on Saturday, January 25 when REPREVE will help X Games, Aspen turn the SuperPipe green. Thousands of lawn green REPREVE beanies, each of which is made from six recycled plastic bottles will be distributed to fans at the Women's SuperPipe Finals. And we hope you all tune in to see the excitement being created around REPREVE. Elena Hight, a woman's snowboard SuperPipe professional athlete and two-time Olympian will once again be featured in a TV ad showcasing the REPREVE brand on ESPN during X Games, Aspen. This year her competition jacket by Volcom will be made with REPREVE using 50 recycled bottles. Elena has also collaborated with Volcom and REPREVE to design exclusive REPREVE-based T-shirts which will be available through volcom.com and repreve.com. We are also launching a consumer driven #TurnItGreen campaign that will focus on education and the benefits of recycling. The campaign will invite consumers to submit photos or videos that show how they live a more sustainable lifestyle by recycling or reusing materials. We invite you to visit our repreve.com website to see more on our REPREVE marketing efforts. Given the success of REPREVE to-date we announced last year that we would increase capacity at the REPREVE recycling center in Yadkinville to produce more REPREVE and other PVA products. We expect the machinery for the third line in the REPREVE recycling center to arrive in late March. And we will have the new equipment online in our fourth quarter this year. Once up and running the new machinery will result in a 70% increase in our domestic capacity to produce REPREVE. In addition to the production of REPREVE yarn we continue to sell REPREVE chip into other market segments that do not compete with our core yarn business. This initiative continues to provide growth for our REPREVE polymer and we are excited about several potential contracts under negotiation to supply REPREVE chip. With that as a backdrop I will turn the call back over to James.
James M. Otterberg: Thanks, Roger. I will begin the review of our preliminary financial results for the December quarter on Page three of the presentation with net sales and gross profit highlights by segment. For all periods presented the company's polyester segment has experienced sales volume and revenue declines that had been offset by improvement in gross profits. The timing of the holiday shutdown and reductions in lower merchant business are the primary reasons for the sales volume and revenue decline while the company’s mix enrichment strategies improved average selling prices and gross profits. Sales volume for our nylon segment was also impacted by the timing of the holiday shutdown but that impact was offset by new PVA programs that contributed to improvement in average selling prices and gross profits. For all periods presented the company's international segment has experienced declines in sales volume, net sales and gross profit. While overall sales volume for our Brazilian operation has remained relatively flat, net sales and gross profits have decreased due to changes in exchange rates and an unfavorable change in mix as more volume is concentrated within resale products. For China a soft market has created period-over-period declines in sales volume that have unfavorably impacted net sales and gross profit. Turning to the income statement highlights for the three months ended December 29, 2013, which are shown on page four, the company is reporting earnings per basic share of $0.34 on net sales of $160.6 million. Although net sales declined earnings per basic share increased $0.22 per share from the $0.12 per basic share reported for the December 2012 quarter. This increase in EPS was due to the improvement in gross margin from 9.7% in the prior period to 11.5% for the current quarter. The benefits of lower net interest expense and improved earnings from our equity affiliates which will be discussed later in this presentation. Gross profit increased $1.8 million and 180 basis points due to higher conversion margins from mix enrichment efforts and lower depreciation expense, while SG&A expenses remained relatively flat versus the prior year period. These improvements when combined with the $3.9 million of increased earnings from equity affiliates increased pretax income for the December 2013 quarter to $10.1 million versus $4.4 million for the prior year quarter. Turning to the income statement highlights for the six months ended December 29, 2013 on page five, the company is reporting earnings per basic share of $0.80 on net sales of $329.3 million. Earnings per basic share has improved $0.57 per share due to improvements in the company's gross margin combined with declines in SG&A and interest expense as well as improved earnings from our joint ventures. Gross profit increased $3.8 million and 160 basis points due to higher conversion margins from mix enrichment efforts and lower depreciation expense. SG&A expenses declined due to lower sales and slightly lower spending levels for the domestic operations. And interest expense declined due to the benefits of both lower average debt balances outstanding and a lower weighted average interest rate. As a result income before income taxes of $24.5 million for the six months ended December 29, 2013 improved $14.8 million versus the prior year. Turning to the highlights for our equity affiliates on page six; the company’s share of earnings from Parkdale America during the current quarter increased to $4.8 million versus $655,000 for the prior year quarter and $10.7 million for the six months ended December 2013 versus $697,000 for the six months ended December 2012. The results for Parkdale America have been favorably impacted by higher operating margins and the timing of deferred revenue recognition related to the EAP cotton rebate program. For the first six months of the company's fiscal year 2014 cash distributions received from Parkdale America totaled $2.6 million. In addition for the current fiscal year earnings from the company's nylon POY joint ventures have totaled $527,000. Turning to page seven, adjusted EBITDA for the three months ended December 29, 2013 was $12.6 million versus $12.2 million for the prior year period. For the six months ended December 2013 the company's adjusted EBITDA improved $1.1 million over the prior year period to an adjusted EBITDA amount of $27 million at an EBITDA margin of 8.2% or 68 basis points higher than the prior year. Add back to arrive at adjusted EBITDA for the current fiscal year to-date period included non-cash compensation charges, expenses for REPREVE renewable and costs incurred to relocate machinery as well as amounts provided for severance costs. Turning to the working capital highlights on page eight, adjusted working capital decreased $10.6 million during the December 2013 quarter primarily due to decreases in sales volume impacting receivables, the reduction of on-hand inventory pounds and the effects of weakening Brazilian real versus the U.S. dollar. The company expects that its investments in adjusted working capital will increase during the March 2014 quarter. Turning to the working capital structure highlights on page nine; the company ended the December 2013 quarter with total debt of $102.8 million and net debt of $87.3 million. For the first half of fiscal year 2014 the company has generated $2.6 million of cash from operating activities which was used to repurchase 771,000 shares of the company's common stock at an average price of approximately $24 per share and invest $9.4 million in new capital expenditures. As of December 29, 2013, cash on hand was $15.5 million and $28.1 million was available under the company's ABL revolver. Before I turn the call over to Bill let me also note that we expect to file our Form 10-Q for the December quarter on or before the filing deadline, which is Friday, February 7. With that, I would like to now turn the call over to Bill.
William L. Jasper : Thanks, James, and good morning, everyone. I'm pleased with our earnings result for both the December quarter and first half of our fiscal year, particularly as they relate to our domestic business. The stability and the price of raw materials coupled with our ongoing strategic focus on lean manufacturing initiatives, enriching our product mix and deriving value from sustainability initiatives contributed to significant improvements in our domestic gross margins. We expect to see strong demand for our PVA products continuing into the second half of the fiscal year. And we are encouraged by the ongoing consumer shift towards synthetic apparel and the continued growth in regional production. However, as both Roger and James mentioned, we are disappointed by the pace of recovery in our international operations. Brazil and China are lagging the first half of this fiscal year versus the same period last year, both in terms of revenue and earnings. The consumer demand in Brazil continues to be hamstrung by high inflation and a weakened economy. And these conditions continue to negatively impact our revenues and gross profit. And as Roger mentioned China market conditions are soft and our volumes there have suffered. We will however continue to focus on increasing sales of our higher margin products as well as our PVA products in both Brazil and China and aggressively manage price to overcome inflationary cost increases. One thing I would specifically like to touch on is our year-over-year revenue declines in both the December quarter and in the first half of our fiscal year which totaled $15.7 million. In our first fiscal quarter the strong performance in our domestic operations was offset by revenue declines in our international segment. In our second fiscal quarter the international shortfall continued and makes up over half of our total year-to-date decline. Domestically we experienced lower sales volume in most product lines in the second fiscal quarter due to the timing of the holiday shutdown period, which fell primarily in the second quarter while it spanned the second and third quarters in fiscal year 2013. This timing issue in itself accounted for approximately half of the fiscal year-to-date decline. Other than that our domestic revenues were flat. Lower volumes in our POY and DTY segments due to our strategic decision to exit low or negative margin business as-well-as a consumer driven shift to a lighter denier mix were replaced with higher margin beaming, nylon and PVA programs. While evaluating the company's overall performance however the company improved operating income by $3.4 million and adjusted EBITDA by a $1 million despite this year-over-year revenue decline. Turning our attention to the Trans-Pacific Partnership trade pact negotiations which I have discussed in the past, little has happened in these negotiations since our last conference call. The Obama administration’s goal to complete these negotiations in 2013 was not met and several difficult issues remain to be resolved beyond the textile chapter. These include contentious agricultural and light truck tariff cuts, import safeguards, monetary policy and the U.S government’s aggressive environmental agenda. Textile negotiations have nearly concluded and the U.S textile industry remains heavily involved. My expectation now is for possible completion of the negotiations some time in mid-2014, so that is likely to be a moving target. Deriving value from sustainability-based initiatives is one of Unifi's business strategies. And as I have shared with you in the past REPREVE Renewables is one of these initiatives. Let me share a brief update with you as to our progress with this business. Our focus for the remainder of fiscal 2014 is to develop the animal bedding market, specifically poultry bedding. We have three core goals for the year. One, secure commercial scale trials with the leading poultry integrators in the U.S.; Two, prove the ability and value proposition to contract or lease acres and have our largest planting year ever; And three, prove the product value with the integrators. Through the first two quarters of our fiscal year we have successfully gained commitment for commercial trials from 10 leading integrators in the U.S., representing over 30 chicken and turkey commercial scale grow up facilities. These integrators represent leading household brands of turkey and chicken products today. We have over 700 acres under contract with more to come for our spring planting which is a significant increase over previous years. We anticipate we will gain sufficient performance data from the trials we will be running over the next year, to clearly define the value proposition in this market. If these efforts are successful we would expect significant growth in our planting and product revenues into this market in 2015. Before I turn the call over to questions I would like to take a few minutes to touch on cash. Due to our strong financial performance we have generated sufficient cash to fund important strategic capital projects. For instance we have recently purchased and installed eight texturing machines in our domestic operation and sold two additional texturing machines in El Salvador and contracted to purchase all equipment for our recycle center expansion project which will increase capacity by three million pounds and is expected to be completed in our fiscal fourth quarter, as Roger mentioned. In addition to this we have repurchased in excess of 1.8 million shares of our common stock over the last 12 months for roughly $38 million. We have achieved this while reducing net debt by slightly more than $4 million in that timeframe. Through these strategic initiatives we have significantly enhanced shareholder value over the past 12 months. We are very pleased with our overall performance and will continue to focus on our core strategies to drive further improvements in the second half of our 2014 fiscal year. Looking forward we expect that the anticipated stability of raw material prices and the strength of our domestic business will offset the slower recoveries in our international operations. We expect adjusted EBITDA in the third quarter to be slightly lower than the second quarter due to negative manufacturing cost variances that were generated from the holiday shutdown last quarter. That will be partially offset by higher sales and revenues. However we expect on whole the second half of this fiscal year to be better than the first and reaffirm our guidance of adjusted EBITDA in the mid to high 50s for fiscal year 2014. With that I'll turn the call over to the operator for questions.
Operator: (Operator Instructions). Your first question comes from the line of Chris McGinnis, Sidoti & Company.
Christopher McGinnis - Sidoti & Company, LLC: Good morning, Gentlemen.
William L. Jasper: Good morning, Chris.
James M. Otterberg: Good morning, Chris.
R. Roger Berrier, Jr.: Good morning, Chris.
Christopher McGinnis - Sidoti & Company, LLC: Just a couple of questions, first just on the strategy to improve your product mix, how much of that, in exiting the lower margin business, how much of that is part of the revenue decline, the exiting of the lower margin business?
James M. Otterberg: Hi, Chris this is James. Well, I think I've said that -- let me give you a number. In the last half of my paragraph there before Bill talked about our cash and how well we've been generating I might have said $2.6 million, it was actually $22.6 million. But when you look at the revenue decline and I will let Bill follow-up, the biggest in magnitude were the impact of the shutdown, currency changes in Brazil and then the effects of the exiting some of the lower margin business and replacing it with some new programs and other PVA products but it's not going to be a majority of the revenue decline.
Christopher McGinnis - Sidoti & Company, LLC: And I guess just with the commentary about, is there any risk that the domestic volume trend changes, I think it's around 18% of that, if I am correct, and has that changed, is there any -- you see more competition in the U.S. coming in and it's only on the lower end and are they trying to compete at all in the higher end?
William L. Jasper : Yeah, this is Bill. I think we're talking about a couple of different things here. The actual share of the region holding firm at 18% we expect that to continue basically because we've got a good cost effective supply change set up here now which can compete with Asia. The exiting of the lower end business, which Roger mentioned, that's more related to, one the cost gap between here and Asia being about $0.14; and two there are being a very slow market in China right now which is basically driving some of those yarn producers to export more to the U.S. than they normally would and selling at, frankly prices that are actually below their cost right now. This happens from time to time. I don’t know that it will continue but we've been able to replace for all intents and purposes all of the business we exited on the low end, we've been able to replace that with higher value programs. Should that the gap between here and Asia reduce I would anticipate we could potentially pick-up some of that lower-end business back if made sense to us, but right now we are running very near total capacity with the programs we have and especially I mentioned a shift to lower deniers. A lot of the programs here in this region have shifted to lighter deniers which doesn't necessarily affect our margins, though it does affect our revenue slightly. So overall I think those are the two things that are going on right now.
R. Roger Berrier, Jr.: Bill, and Chris just add to Bill's comment, your reference to the imports usually are coming at the low end of our business. So that the commodity sector. So as we talk about product mix enrichment, replacing that lowering business with more value-added products differentiated products through our product development efforts has been one of our core strategies for several years.
Christopher McGinnis - Sidoti & Company, LLC: Sure. I appreciate that. I guess just in supporting the REPREVE indicatives and your PVA imitative, I am little surprised to see just your SG&A kind of flat year-over-year. Can you maybe just talk a little bit what's -- how you are controlling that but also supporting your new growth initiatives?
William L. Jasper : Yes if you look at sort of our consumer marketing campaign with REPREVE, you look at our spend rate last year versus this year, last year we spent a lot of money creating, I would say a lot of backbone type website activity and marketing collateral. This year we didn't have to re-spend that money. So we have more funds going out directly to more consumer marketing. Last year we were building up a lot of that foundation of the platform. So our exposure out to the consumers is probably a little more this year than last year even though our SG&A expense in that area is relatively flat.
Christopher McGinnis - Sidoti & Company, LLC: And just to touch on renewables real quick, obviously the Chemtex plant opened or at least broke ground, could you may be just talk about may be any contract you have with that or may be just provide a little more insight of your relationship with the Chemtex plant?
William L. Jasper : Okay, Chris. Yeah we’ve contracted a couple of hundred acres for that plant in Southeast and North Carolina. And I would expect once the plant begins to be built and once they begin to -- people or the farmers there have a little more confidence in that plant being built, I suspect we could have some additional sales. Now the majority of the feedstock today is going to be Arundo and switchgrass which has already been contracted. But I would expect that there is potential for some more business there.
Christopher McGinnis - Sidoti & Company, LLC: Is there anything else on the horizon for the -- on the bio side, on the biofuel side?
William L. Jasper : Well certainly there are several different competing technologies which are being developed right now. I would expect at some point in time we'll determine what the winning technologies are. And then once we do that miscanthus still is at least for most of those technologies a very viable and in many cases the most effective product to be fed into those technologies. So I think once the industry sorts out what the winning technology is going to be there will be some significant opportunities for us but that’s still probably a few years down the road, which is why we are focused now on a market that appears to be ready and which is the poultry bedding market.
Christopher McGinnis - Sidoti & Company, LLC: Sure. Now that makes sense. And I am just then looking at things, Europe is pretty strong, seemingly Europe has a stronger presence of the miscanthus and the beating market already and should sort of adapt overtime here I would imagine?
William L. Jasper : Well, yeah. I mean certainly in Europe miscanthus is very strong in the power market, also the electricity market. A lot of electricity there is generated by biomass and a good portion of that is miscanthus. But that market is much more mature there in Europe than it is here in the U.S.
Christopher McGinnis - Sidoti & Company, LLC: Sure. And just with the testing that you have lined over the next year you talked about, do you see any problems with, I guess what are the issues in terms of getting the supplier? Is it getting farmers to come on board still or is it, or is that going to be your own, that you are going to grow yourself. Can you just maybe walk us through, how you plan to supply the kind of demand for the bedding market?
William L. Jasper : Okay. Well. First let me talk about our testing. Right now our testing is with several of these, they’re called chicken houses, but they are really growth facilities for chickens and what we are replacing is basically sawdust and wood chips. Initial testing we did at the North Carolina State University indicated that the health of the chickens and the growth of the chickens was actually enhanced by using chopped miscanthus versus the woodchips. We are now going to confirm that or we will approve it or disprove it in some large commercial scale tests. Should that be successful the demand could be quite large. We've got two different models, one is we would be potentially leasing land ourselves and growing and selling it. Another model is we would be planting for farmers who would then grow it and sell it. And we are probably going to have some mix of those two scenarios, should we be successful and move forward. Now should we be successful my anticipation would be several thousand acres will be planted over the next couple of years to feed multiple number of tons into this market. But again until we prove the value proposition and the viability of this product in that market it’s going to be difficult to say how big it could be but certainly if we are successful it could be quite large but again still probably two or three years down the road.
Christopher McGinnis - Sidoti & Company, LLC: I agree. Thank you very much for the time today.
William L. Jasper : Yes. Thanks, Chris.
R. Roger Berrier, Jr.: Thanks, Chris.
Operator: (Operator Instructions) And there is no further audio questions at this time.
William L. Jasper: Okay. Well, thank you operator and I guess thank you all for joining in. We are looking forward to continuing to improve and we will continue to update some of these potential benefits in future quarters. Thank you.
Operator: Thank you for joining today's conference call. You may now disconnect your lines.